Operator: Ladies and gentlemen, thank you for standing by and welcome to Halliburton’s Fourth Quarter 2020 Earnings Call. Please be advised that today’s conference is being recorded. I would now like to hand the conference over to Abu Zeya, Head of Investor Relations. Please go ahead, sir.
Abu Zeya: Good morning and welcome to the Halliburton fourth quarter 2020 conference call. As a reminder, today’s call is being webcast and a replay will be available on Halliburton’s website for 7 days. Joining me today are Jeff Miller, Chairman, President, and CEO and Lance Loeffler, CFO. Some of our comments today may include forward-looking statements, reflecting Halliburton’s views about future events. These matters involve risks and uncertainties that could cause our actual results to materially differ from our forward-looking statements. These risks are discussed in Halliburton’s Form 10-K for the year ended December 31, 2019; Form 10-Q for the quarter ended September 30, 2020; recent current reports on Form 8-K; and other Securities and Exchange Commission filings. We undertake no obligation to revise or update publicly any forward-looking statements for any reason. Our comments today also include non-GAAP financial measures that exclude the impact of impairments and other charges. Additional details and reconciliation to the most directly comparable GAAP financial measures are included in our fourth quarter earnings release and can also be found in the quarterly results and presentation section of our website. After our prepared remarks, we ask that you please limit yourself to one question and one related follow-up during the Q&A period in order to allow time for others who maybe in the queue. Now, I will turn the call over to Jeff.
Jeff Miller: Thank you, Abu, and good morning everyone. Let me start by looking back at the year that just ended. 2020 was a year like no other. We faced a global pandemic, record oil demand destruction, and an unprecedented downturn in the energy industry. Despite these turbulent times, Halliburton demonstrated resilience and performed consistently with our execution culture. Before we get to our results, I want to address our outstanding employees. I thank you for your hard work and execution throughout the entire year. You answered the call for safety, collaboration, and service quality and delivered for Halliburton’s customers and our shareholders. Now, I want to highlight a few of our 2020 accomplishments. We delivered historic bests in all of our key safety and service quality metrics, recordable injury rate, lost time injury rate, vehicle incident rate, environmental recordable rate, and non-productive time. Each of these key metrics improved by over 20% and most did so for the second year in a row. This was a result of our employees’ continued commitment to safety and process execution despite the year’s distractions. Total company revenue of $14.4 billion outperformed the global rig count decline of 38% demonstrating the strength and diversity of our business. Our swift and decisive cost actions and service delivery improvements reset our earnings power, allowing us to deliver resilient margin performance. Our completion and production division finished the year with close to 16% operating margins, exiting the year higher than where they started. These results highlight the success of our structural cost reductions and process improvements. Our drilling and evaluation division had a strong, full-year margin performance despite the rig count declines experienced in all regions. We delivered over $1.1 billion of free cash flow for the year, demonstrating our ability to generate strong free cash flow throughout different business environments. We increased the breadth and depth of our digital offerings and delivered best-in-class performance across the spectrum of digital technologies, and we successfully launched Halliburton Labs, a collaborative environment where entrepreneurs, academics, investors, and industrial labs come together to advance cleaner, affordable energy. Now, let me share a few points about our fourth quarter performance. We finished the quarter with total company revenue of $3.2 billion, a 9% sequential increase and adjusted operating income of $350 million, an increase of 27% sequentially. This marks the first quarterly revenue increase since the activity declines began last March. Our completion and production division revenue increased 15% sequentially, while operating income improved 33% resulting in an operating margin improvement of 2% over the prior quarter. Our drilling and evaluation division revenue and operating income grew 2% and 11% respectively. Higher rig activity in the Western Hemisphere was offset by rig count declines in the Eastern Hemisphere. International revenue remained flat sequentially. Activity in Latin America improved for the second quarter in a row. Activity declines continued in other regions, but at a slower pace compared to the prior quarters. And lastly, our North America revenue increased 26% sequentially, driven primarily by increases in both drilling and completions activity in U.S. lands. Our overall strong performance was a direct result of our focus on the key strategic priorities that define Halliburton’s path now and into the future. We are focused on profitable growth in our strong international franchise, and we are driving strategic changes in North America and building a leaner and more profitable business. We are accelerating the deployment and integration of digital technologies both internally and with our customers. We are driving capital efficiency by advancing our technologies and making strategic choices that lower our CapEx profile, and we are an active participant in advancing a sustainable energy future. As we start the new year, we believe that the worst is behind us and look to the future with optimism. Oil prices are back to pre-pandemic levels driven by global vaccine distribution and unfolding demand recovery, OPEC+ discipline, and a declining production base. However, some caution is appropriate due to the surge in COVID-19 infections globally and the expected gradual return of spare production capacity. Our five strategic priorities will continue to drive Halliburton’s success as markets around the world stabilize and start to grow. We believe that aligning our actions with these priorities will boost our returns and free cash flow generation both today and as the recovery unfolds. We set these priorities according to our long-term view of the market. As oil demand recovers, we expect to see favorable market dynamics and the beginning of a multiyear energy up-cycle. However, we believe this recovery will look different than prior cycles. International short cycle producers will have an opportunity to gain share. North American E&Ps will increase spending from current levels that will take a more disciplined approach to growing production in the future. We believe that the overall cost and environmental impact of producing oil and gas will continue to decline due to innovation and technology adoption. As a result, oil and gas will remain a critical and significant component of the energy mix. I expect that our gains achieved in 2020, including service delivery improvements, structural cost reductions, and capital efficiency are firmly in place and sustainable. Halliburton is uniquely positioned in all markets and is prepared to deliver on both our customer expectations and our shareholder objectives. Our strong international business outperformed the market. Our full year international revenue declined 17%, while rig counts and customer spending were down more than 20%. All regions except Latin America declined in the fourth quarter, but at a slower pace. In the first quarter, we expect international activity to be impacted by typical weather-related seasonality and the absence of year-end product sales. Activity should bottom during the first quarter and improve as the year unfolds. For the full year, we expect activity recover very widely across regions. Latin America will continue with upward momentum off a very low bottom both onshore and offshore. Asia-Pacific is also showing signs of activity improvement. We believe parts of Europe and West Africa will remain slow, especially in the deepwater areas. As for the Middle East and Russia, we believe they will manage activity based on expectations of the economic and demand recovery. While the pace of recovery depends on the trajectory of demand improvement, we believe the second half of this year could see a low double-digit increase in international activity year-on-year. Halliburton is well positioned to benefit from this increase. Let me be clear, our target is profitable growth. Against a tough activity backdrop in 2020, we remained focused on increasing profitability and our actions resulted in overall international margin improvement. In 2021, we expect that several factors will continue to drive Halliburton’s profitable international growth, Halliburton will benefit from our improved position in the international market cycle. We are stronger, technically, geographically and organizationally. We have exposure to mature fields, completions and interventions work, a deck of resilient integrated contracts around the world, leveraged to unconventional developments in Latin America and the Middle East and a leading position in key active offshore areas. While the international sales cycle tends to be longer, we now have line of sight to activity increases in the coming quarters. Tender activity has picked up recently led by the NOCs in the Middle East and Latin America and new opportunities are emerging with operators in other regions. Our customers have also pulled forward mobilization plans for various contracts awarded to Halliburton that were put on hold due to the pandemic. Our new drilling technologies are penetrating the market and gaining customer confidence. For example, we exited the year with a threefold increase in our EarthStar deep resistivity sensor revenue. As activity recovers, our technology provides us with a tremendous opportunity to profitably grow revenue. We see significant growth potential in the continued international expansion of our production businesses, especially in mature fields around the world. For example, the international artificial lift market tends to be more resilient and as longer cycle. Once an operator puts its field on the specific form of lift, it typically stays on it for many years. We are currently mobilizing for our first multiyear electric submersible pump contract in the Middle East and are excited about the opportunities artificial lift opens for us in the region. The construction of our specialty chemicals plant in Saudi Arabia continues to progress towards final completion. When it is complete, Halliburton will have a differentiated value chain in the region that maximizes local content, delivers customized solutions more quickly and shortens customer lead times. I am excited about these two new additions to our international portfolio that provide us with unique growth opportunities. Finally, adoption of Halliburton’s digital solutions helps our customers to reduce cost per barrel, improve project economics and increase efficiencies. Our Halliburton 4.0 digital offerings in subsurface, well construction and reservoir and production create differentiation and margin growth opportunities for Halliburton. We are pleased that in 2021 several international oil companies are deploying DecisionSpace 365 cloud applications to streamline and automate their well construction activities. I believe that digital and other technology advances, geographic expansion of our products and services, along with continued discipline in cost management and capital efficiency should allow Halliburton to continue delivering profitable returns driven growth in the international markets. Turning to North America, the strategic actions we took last year reset Halliburton’s earnings power in this critical, but structurally smaller market. We are the leader in North America and the only integrated oilfield services companies still active in the hydraulic fracturing market. In the fourth quarter, our North America business took advantage of the recovery in completions and drilling activity and delivered continued margin improvement even without improved pricing. Completion stage counts increased in the oil basins, but declined modestly in the gas plays. While the U.S. land rig count recovered from its August 2020 low of 230 rigs, it is still 60% below the pre-pandemic levels. Private and small operators added the most rigs, while large E&Ps and majors moved more slowly. We expect completions activity in North America to continue improving in the first half of 2021 as commodity prices remained supportive and customers complete their backlog of DUCs. Customer consolidation will likely continue and we expect most operators will remain committed to a disciplined capital program. For the full year, provided that the impact of the pandemic moderates, economic activity continues to increase and oil price remains solid. I am optimistic that our customers will sustain activity in order to hold their production flat to 2020 exit levels with completion spend outpacing drilling. I am excited about Halliburton’s future in North America and here is why. We completed the most aggressive set of structural cost reductions in our history, giving us meaningful operating leverage in a recovering market. We also made significant changes to our processes that drive higher contribution margin, for example, how we perform equipment maintenance and provide engineering support. We believe the benefits of these changes will have a meaningful impact on our margins as activity picks up. The hydraulic fracturing market structure continues to improve. Utilization of our active equipment is higher than it was at the beginning of last year. The market has continued to rationalize and consolidate. We are seeing competitors either cannibalize idle equipment for parts or use it to beef up working fleets thus increasing average horsepower per fleet. This will make equipment reactivation to meet growing demand a lot harder for capital constrained companies and should only accelerate supply and demand balancing. As activity starts to increase, Halliburton has a unique competitive advantage and sufficient capacity to respond without adding incremental capital. Our in-house engineering capabilities to refurbish maintain and continuously improve our fracturing and perforating equipment minimize the cost and time to deliver the necessary equipment to our customers and take advantage of the market recovery. We are also well positioned to profitably grow in our competitive non-hydraulic fracturing businesses in North America. For example, in 2020, our artificial lift business developed and implemented new digital capabilities, increased remote operations jobs, and solidified its strong market position in North America. We also expect our well construction technology investments to best position Halliburton to outperform as drilling rigs return. Using the Halliburton 4.0 digital framework, we continue to collaborate and engineer solutions that maximize our customer’s asset value. Last quarter, we launched our SmartFleet intelligent fracturing system and successfully completed a customer engagement in West Texas. SmartFleet is an industry first, where intelligent automation manages and executes live treatment decisions to optimize subsurface fracture outcomes. By using SmartFleet, the operator was able to consistently visualize and measure fracture propagation and control fracture placement through automation. Importantly, the system provided a level of subsurface control that was previously not possible and enabled the customer to actively drive their completion outcomes in real time. We are building on this success with multiple customer commitments across different basins. I believe this is the biggest step forward in fracturing technology in a long time. Let me give you a few more examples of how we are accelerating Halliburton 4.0 digital adoption. In the North Sea, we have successfully delivered the first fully automated cement job for the offshore cementing unit executed the work without human intervention. This is an important milestone in reaching the vision of fully autonomous offshore well construction that has significant implications for efficiency, safety and operating costs. In 2020, we more than tripled the number of DecisionSpace 365 users on the iEnergy cloud platform. Our customers also increased adoption of the DecisionSpace 365 asset simulator. Operators in Europe, Latin America and Asia ran over 3,000 reservoir simulation scenarios on the iEnergy cloud with speeds of up to 7x faster than with conventional on-premise simulators. Finally, we are teaming up with Accenture to drive the digital transformation of our supply chain. This will result in process efficiencies across large volumes of transactional activities, lower our overall cost, and free up resources to drive strategic decision-making and support of our operational requirements. Next, I want to discuss capital efficiency, a key enabler of our other strategic priorities, leveraging new materials and design approaches as well as digital innovation. We have been able to significantly reduce CapEx requirements and extend the life of our equipment. We are continuing our iCruise drilling system deployment and are reaping the benefits of a reduced CapEx profile and higher asset velocity. Technology advancements in multiple product service lines in both divisions are allowing us to improve design and service configuration to save time and money both for our customers and Halliburton. Finally, I would like to highlight several important actions we took in alignment with our strategic priority to participate in advancing a sustainable energy future. We are working to reduce the carbon footprint and environmental impact of our own operations and have committed to setting targets through the science-based targets initiative to reduce our greenhouse gas emissions. With this commitment, Halliburton joins over 1,000 global companies taking science-based climate action. This is important in our journey to align with the latest climate science and contribute to sustainable energy advancement. We are also collaborating with our customers to produce oil and gas more efficiently, while reducing their emissions. We are currently performing the first electric grid powered fracturing operation for Cimarex Energy in the Permian Basin. With over 300 stages on multiple wells already completed, Halliburton’s electric-powered equipment has allowed the customer to achieve pump rates that were 30% to 40% higher than conventional pumps by utilizing the maximum grid power potential. Grid-powered electric spreads require substantially less capital, a smaller footprint and are more efficient compared to turbine power. When demand for emission reduction solutions translates to better pricing, I expect we will replace within our planned capital budget some of our conventional fracturing capacity with electric over the course of a normal equipment replacement cycle. Halliburton is starting the new year with a clear sense of purpose. We believe that our strategic priorities are the right ones and our margins in the fourth quarter demonstrated that. We are confident that the actions we have taken are sustainable and we are well-positioned both internationally and in North America for the unfolding market recovery. I will now turn the call over to Lance to provide more details on our financial results. Lance?
Lance Loeffler: Thank you, Jeff. Let’s begin this morning with an overview of our fourth quarter results compared to the third quarter of 2020. Total company revenue for the quarter was $3.2 billion, an increase of 9% and adjusted operating income was $350 million, an increase of 27%. During the fourth quarter, we recognized approximately $450 million of pre-tax impairments and other charges primarily related to the fair value adjustment of our real estate assets in North America. As part of our 2020 structural cost reduction initiatives, we reduced the amount of real estate required to run our business. In the second quarter, we decreased our real estate use in North America by roughly 50% by closing, selling, consolidating and reducing the size of many facilities. Subsequently, we conducted a detailed analysis on how we own, lease and operate our remaining real estate footprint. As a result, we concluded that a structured transaction is likely to be advantageous in managing the majority of our North American real estate, which led to the fair value adjustment I just discussed. This initiative is consistent with our strategic priority to achieve capital efficiency in our business, while allowing us to retain flexibility and drive future operating benefits. Let me take a moment to discuss our divisional results in more detail. In our completion and production division, revenue increased $236 million or 15%, while operating income increased $70 million, an increase of 33%. These increases were driven by higher activity in multiple product service lines in North America, increased stimulation activity in Argentina and Kuwait, higher completion tool sales in Africa, Southeast Asia and Norway, and increased well intervention services internationally. These increases were partially offset by lower pressure pumping activity in Saudi Arabia and lower completion tool sales in Eurasia and Australia. Our drilling and evaluation revenue increased $26 million or 2%, while operating income grew by $12 million, or an 11% increase. These increases were primarily due to higher drilling related services in North America and Brazil, increased wireline activity in North America and Latin America as well as higher fluid sales in Asia-Pacific and Guyana and increased software sales across all regions. Partially offsetting these increases were lower drilling-related services and project management activity in Europe/Africa/CIS, the Middle East and Mexico as well as reduced wireline activity in Asia-Pacific and Saudi Arabia. Moving on to our geographical results, in North America, revenue increased $254 million, a 26% increase. These results were driven by higher activity in stimulation and artificial lift in U.S. land as well as higher well construction and wireline services activity and year end completion tools and software sales. Latin America revenue grew $46 million or 12%, resulting primarily from increased pressure pumping and wireline activity in Argentina and activity increases in multiple product service lines in Colombia and Ecuador as well as higher fluid sales in Guyana and drilling services in Brazil. These increases were partially offset by reduced activity across multiple product service lines in Mexico. Turning to Europe/Africa/CIS, revenue was modestly down by $7 million or a decrease of 1%, resulting primarily from reduced drilling related services and completion tool sales in Eurasia, coupled with lower drilling related activity in Norway. These results were partially offset by higher completion tool sales in Africa, Norway and Continental Europe as well as increased stimulation and well intervention services in Algeria and Continental Europe. Middle East Asia revenue declined $31 million, or 3%, largely attributed to lower activity in multiple product service lines in Saudi Arabia, reduced drilling activity in United Arab Emirates and decreased project management activity in India. These decreases were partially offset by higher drilling-related services in China, Australia and Malaysia, increased stimulation activity in Kuwait, and higher software sales across the region. In the fourth quarter, our corporate and other expense totaled $49 million and we expect it to be approximately the same in the first quarter of 2021. Net interest expense for the quarter was $125 million and should remain essentially flat in the first quarter. Our effective tax rate for the fourth quarter was approximately 19%. Based on the market environment and our expected geographic earnings mix, we expect our 2021 first quarter effective tax rate to be approximately 25%. We generated approximately $638 million of cash from operations during the fourth quarter and delivered over $1.1 billion of free cash flow for the full year. As a result, we ended the year with approximately $2.6 billion in cash. We will continue to prioritize reducing leverage in the near-term and intend to pay down $685 million of debt coming due this year with cash on hand. Capital expenditures during the quarter were $218 million with our 2020 full year CapEx totaling approximately $730 million. In 2021, we intend to keep our capital expenditures relatively flat at $750 million. We believe that with this level of spend we will be well-equipped to take advantage of the unfolding recovery. Finally, let me provide you with some comments on how we see the first quarter playing out. As is typical, our results for the first quarter of 2021 will be subject to weather-related seasonality and the roll-off of year-end product sales, which primarily impact our international and Gulf of Mexico businesses. While we anticipate a slower than normal start to the year in some international regions, we also expect activity momentum in North America to continue with completions activity outpacing drilling activity. As such, in our completion and production division, we expect revenue to increase 3% to 5% sequentially and operating margins to decline 150 to 200 basis points largely due to a different business mix. In our drilling and evaluation division, we anticipate a low single-digit revenue increase sequentially, with operating margins expected to increase by 50 to 75 basis points. I will now turn the call back over to Jeff. Jeff?
Jeff Miller: Thanks, Lance. To sum up, Halliburton is focused on executing our key strategic priorities to deliver industry leading returns and solid free cash flow for our shareholders. Our strong international business is expected to continue its profitable growth and market outperformance as the international activity ramps up throughout the year. In the critical North American market, our business is recovering and demonstrating margin improvement. Digital is gaining traction, growing our revenue and helping us and our customers increase operational efficiency and reduce costs. Our capital efficiency enabled by technology and service delivery improvements is expected to contribute to solid free cash flow generation and our commitment to a sustainable energy future will ensure we play a role in advancing cleaner and more affordable energy solutions. I am optimistic about the future. While the 2020 downturn was deeper and more widespread than anything we have seen before, I am encouraged by the changes we implemented to solidify Halliburton’s role in the unfolding economic recovery for oil and gas remains vital. Strong execution on our strategic priorities will allow Halliburton to continue to power into and win this recovery. And now, let’s open it up for questions.
Operator: [Operator Instructions] Our first question comes from the line of James West with Evercore ISI. Your line is now open.
James West: Hey, good morning, Jeff, Lance, Abu.
Jeff Miller: Good morning, James.
Lance Loeffler: Good morning.
James West: And well done in North America in reinventing yourself there and creating a much more valuable asset, and while it’s a structurally lower market or smaller market, you have created a nice cash flow machine there. Is it the – the question in my mind and you gave some color around this, Jeff, but I wanted to dig in a little further is the outlook for the full year ‘21. With North America, I know you mentioned -- you feel like the momentum is still good, but I guess first is there some peak that we are going to see or some stabilization of activity as the companies remain capital disciplined which should get back to kind of this maintenance level? And then on the international side, it sounds like you have called the bottom in 1Q, some pick up in 2Q, but the magnitude of the pickup in the second half, what’s your confidence level on that pickup?
Jeff Miller: Yes, thanks, James. Let me start with North America and then start with – I am more optimistic today than I certainly was 90 days ago, and 2021 will feel better than the second half of 2020 annualized.
James West: Okay.
Jeff Miller: So what’s important is we see momentum coming into the year and it looks steady for the remainder and that’s predicated on customers, I think will be certainly rationale and capital disciplined, but I think there is also pressure to hold production flat in 2021, which creates a bit of a floor as we look at the full year.
James West: Okay.
Jeff Miller: From an international perspective, I feel confident around the international recovery. And I think in terms of magnitude into the second half of 2021, we believe or I believe we will be up low-double digits. So, that’s fairly solid and that’s based on the tender pipeline that we are seeing and the types of barrels that are produced shorter cycle, I think, will lend themselves to that type of uptick. And maybe one last word on international outlook, I mean, I think we view 2021 as a bit of a transition year. I mean, 2020 was the worst in our history, and we view 2022 as when we see the global rebalancing of supply and demand, which creates the sort of underpinning of a multi-year upcycle, and so that we see Q1 as a bottom and then steadily building from there. That’s the kind of momentum that we really like to see going into that supply and demand sort of coming into balance.
James West: Okay, okay. And then the tendering process internationally that’s occurring. Are these chunky projects with big rooms or is it more smaller or is it kind of ramping of projects that had maybe ramped downwards, ramping back up, what’s the kind of the nature of those tenders?
Jeff Miller: We are seeing some tenders, some big ones, also seeing some extensions of existing work. So, it’s a bit of a mixed bag at this point, but visibility we have are of not all chunky though. Again, I think the extensions are important also to create sort of that steady momentum that we are talking about.
James West: Right, okay. Thanks, Jeff.
Jeff Miller: Thank you, James.
Operator: Our next question comes from Angie Sedita with Goldman Sachs. Your line is now open.
Angie Sedita: Thanks. Good morning guys.
Jeff Miller: Good morning, Angie.
Lance Loeffler: Good morning, Angie.
Angie Sedita: Good morning. So Lance, maybe we can start with you and flesh out a little bit more commentary around the margin outlook for ‘21 for both C&P and D&E, and maybe you could start with 150 to 200 basis point decline on mix for Q1, flush that out for us and just talk about the full year? And then D&E, 8.2% in Q4, you set up slightly in Q1, can you talk about the margin outlook for the full year and the potential to return to a double-digit margin?
Lance Loeffler: Sure, sure, Angie. Look, I think it’s simply as it relates to the guide that we gave, it’s simply a business mix for C&P. So, we have got completion tool sales that are falling off and are being replaced. That revenue is being replaced by an improving North America market activity, but not the same level of profitability. But look, we are encouraged about some of the backlog that we see building in our completion tool business, and I think that also gives us the confidence that Jeff just outlined in terms of the back half of the year, particularly in the international markets. As you think about C&P margin progression in 2021, I mean, I would remind you and others on the call that we are starting from a much higher point in 2021 than we did even in 2020 before the impact of the pandemic, and that’s on a much lower activity level. On a full year basis, I would say, Angie, that our expectations are that we still drive mid-teens margins for our C&P division. And look, if we are able to get some pricing momentum, it could go higher than that. But we are happy with what we have done, particularly creating the operating leverage in the business. Jeff has mentioned several times that it’s sustainable. And I think it fundamentally drives higher incrementals, at least that’s what the management team here is focused on for this next upcycle. On D&E margins, again, I think we are starting 2021 higher sequentially, which is typically not the case for our business as we go through some of the seasonality issues that we have mentioned and year end software sales falling off. So, I am encouraged to see the momentum and margin progression across the end of the year and into the beginning of 2021. And that’s coming off again a largest rig drop in history for our business and our industry. Our expectation is to get to double-digit margins by the end of the year, end of the year 2021. And I think that we are ready to do that through capitalizing on obviously a recovering market that Jeff talked about in the back half of the year, but also on the technology and digital investments that we have made into the business throughout the course of 2020 and reaping the benefits in 2021. But I think the overall point, particularly for our D&E business as you think about the international markets is a real focus on profitable growth.
Angie Sedita: Yes, fair color. That’s great color, Lance. Very much appreciated. So, maybe one more separate follow-up on deep leads, maybe Jeff, you could talk about the technology that you have, how it differs from the peers the contract you have with Cimarex and then thoughts around additional construction and could electric fleets become a larger part of the operations over time?
Jeff Miller: Well, thanks, Angie. Look, I think that was – it’s an elegant and differentiated solution, but clearly a premium solution. We have been working on the electric technology for a number of years and have always described some of the challenges around electric also being the cost and the upfront capital associated with it. The grid solution actually eliminates the requirement for turbines, which have come with a range of either operating problems or emissions. And so – and it’s important to give a shout out to the Cimarex management team here, because a lot of innovation and collaboration together in order to bring together a very efficient solution and also one with the absolute lowest emissions, I mean, because now it’s tapped into the grid and consuming sort of a variety of different energy sources. So, the customer commitment was very important. I think customer interest will be high. But it’s also over time, but it’s also going to require pricing and different types of contract terms and I view this though as part of our normal reinvestment cycle. Clearly, there is interest, but we have a planned reinvestment cycle that’s inside of our capital budget and our outlook on capital efficiency and certainly see electric having a place in that, but that’s where it will sit.
Angie Sedita: Great. Thanks. I will turn it over.
Jeff Miller: Thank you.
Operator: Our next question comes from Scott Gruber with Citigroup. Your line is now open.
Scott Gruber: Guys, good morning.
Jeff Miller: Good morning, Scott.
Scott Gruber: So Jeff, just staying on that same line of questioning, the demand for emission reduction solutions and frac appears pretty robust these days, with crude climbing above $50, do you think customers are going to be willing to pay up this year to begin a more material expansion of these solutions?
Jeff Miller: Well, we will have to see. Like I said, we have seen – haven’t seen it necessarily at this point, but I think that it’s part of an evolution. By that I mean, emissions are part of the cost of operating today. And in my prepared remarks, I indicated that I thought technology would lower operating costs and also emissions. And I think viewing it that way is going to be important. And beyond that, from a Halliburton perspective, we think about nutrition labels in effect, which help us work with our customers to lower the emissions not just for us, but in the services that we provide so that we can make choice and drive R&D towards what we think will be a lower emissions sort of footprint on location?
Scott Gruber: Got it. I mean, Lance just coming back to C&P margins, big question on Halliburton these days is just how C&P margins trend here given the recovery domestically, but have come in at a lower margin profile than international. Are you able to provide just a bit more color on the incrementals that you are seeing on the domestic side of C&P? You are not asking for the absolute level, but just in terms of the rate of change as activity comes back here, are you seeing that incrementals say in 4Q that approach there the segment average and those types of incremental sustainable into the first half of ‘21?
Lance Loeffler: Yes. I think look, incrementals will start off naturally slower when you are just working on activity ramp. Clearly, there is a lot more punch to incrementals when you start to get pricing as well. We are not there yet as you have heard us say on the pricing side, but I think our incrementals have been very healthy as it relates to just the activity improvement in North America. And again, it goes back to the things that we were doing around the structural cost initiatives to get the cost structure right in this market and to watch that business improve on activity alone has been good to see.
Scott Gruber: Got it. Appreciate it. Thank you.
Lance Loeffler: Yes.
Operator: Our next question comes from Sean Meakim with JPMorgan. Your line is now open.
Sean Meakim: Thanks. Hey, good morning.
Jeff Miller: Good morning, Sean.
Sean Meakim: You hit your $1 billion free cash flow bogey for 2020 I am just curious how you think 2021 current flows who got moving parts as well as improving cash from operations as you go through the year, but also working capital needs shift as revenue is going to improve sequentially. CapEx you are expecting flat year-on-year, just how do we think about sending that mark for ‘21 in terms of what you all can achieve from a free cash flow perspective?
Jeff Miller: Well, Sean, let me take the first part of that, because it’s maximizing free cash flow is a priority of mine. And the strategic priorities that I have laid out are designed to deliver and maximize free cash flow, but as you say, I think the profile may look different this year. Lance, why don’t you go?
Lance Loeffler: Sure, sure. You are right, you are right, Sean. Yes, I think the free cash flow profile for 2021 versus 2020 will be much more from an operating profit perspective, right. So the full year of cost cut benefits will be rolling through 2021. We will also have the increased activity that you have heard us reference so far on the call. Yes, you are right, capital discipline and our philosophy around that remains in place, but as the business begins to grow, working capital will require investment, right as activity picks up. And so think about it outside of some of the noise that’s created from working capital movements. So excluding working capital for a second, I would expect free cash flow to more than double in 2021. Is that helpful?
Sean Meakim: Very helpful. Yes, thank you for that. And then on international markets, you talked about shorter cycle maybe taking back some share, I think that makes sense. And you noticed that tendering activity is picking up, can you just talk about expectations for bidding behavior between you and your competitors, how that may compare and contrast to what we saw in the most recent cycle? What should give investors confidence that tendering rounds may look different than what they did in the most recent round we saw, let’s say prior to the pandemic?
Jeff Miller: Yes. Look, Sean, I am not going to comment on the strategic and the competitive issues that you brought up. But what I can speak from our perspective is our focus is on profitable growth and profitable growth that maximizes free cash flow and drives returns. And I would say that, that’s been something that is important and we were making progress on that in the first quarter of 2020 in terms of improving margins and cash flow and returns and then we took a COVID pause internationally. Now, I don’t think dynamics have not changed in terms of available equipment for the international markets during the COVID period of time. So, with activity and our focus on profitable growth, I am encouraged by what I see, clearly, it’s always competitive. Certainly, it’s always competitive. But that focus on profitable growth is front and center with me.
Sean Meakim: I understand. Thanks very much for that.
Operator: Our next question comes from Chase Mulvehill with Bank of America. Your line is now open.
Chase Mulvehill: Hey, good morning, everyone. I guess so I wanted to come back to the conversation around kind of your E&P spending and then kind of your outlook for 2021. I don’t know if you can maybe just take a minute and talk to which your expectations are for North American E&P spending this year and then also on the international side, I know you said kind of activity up low double-digits in the back half of this year for international, but I don’t know if that means that we can actually kind of get more flattish spending this year by E&Ps or is that still going to be down?
Jeff Miller: Look, from an international standpoint, I mean, I think that’s a fairly tight range around flat. But I also think what’s more important is the improvement that we are seeing into what we believe is supply and demand balancing in 2022 and that’s the right kind of trajectory to have going into that. And so if we have got double-digit growth in the second half of the year, we have called the bottom in the first quarter of the year, we used to kind of work through that. And like I said, I believe that the tighter range around flat, but I think that’s going to be, it’s got to be the path to solid improvement. And I am pretty optimistic about how all of that plays out. In North America, again, I think Q1 last year creates a lot of noise in that comparison, but the important thing is I do believe customers will be capital disciplined, but we have got a lot of road to go just to get back to where we were, even pre-pandemic when the first quarter of ‘20. And so I think that and we saw production come off pretty hard in 2020. So, just to keep things flat in 2021, from a production perspective, requires a reasonable amount of activity and actually more activity than we even see today based on kind of our calculation and outlook, which gives me good confidence that while we have got good momentum in the first quarter and we have got pretty good visibility for the year. So, I think that our outlook that, that momentum it builds in the first quarter, but it doesn’t fall off at the pace that it has in the past certainly, I think that just because the drivers will be different. And I think capital discipline and flat production coexist in the market and that’s what gives me confidence.
Chase Mulvehill: Okay. One quick follow-up, if you think about international pricing, we have heard some anecdotes from some people about some competitive pricing with some larger projects out there, but we don’t see all the data points. So I don’t know if you can maybe just take a second and just kind of talk about what you are seeing out there in the international pricing trend?
Jeff Miller: Well, what I would say is that it’s always competitive on big projects. We will see different behavior at different times. Yes, I think the under the most important thing is I think we are going into a multiyear cycle internationally and building profitable roads is what will be most important and certainly most important to Halliburton. And I say it that way, because the equipment availability hasn’t changed. Certainly, we do capital efficiency as one of our strategic priorities, which also means we want to put it to work where in the places where it’s going to make the best returns and that’s not going to be everywhere. That’s going to be in the best returning opportunities, but I think there is enough growth there. And again, it’s this multiyear cycle, it’s the balancing in ‘22 and the progression through ‘21 gives me confidence in certainly taking that approach.
Chase Mulvehill: Okay, perfect. I will turn it back over. Thanks, Jeff.
Jeff Miller: Thank you.
Operator: Our next question comes from the line of Kurt Hallead with RBC Capital Markets. Your line is now open.
Kurt Hallead: Hey, good morning everybody.
Jeff Miller: Good morning, Kurt.
Lance Loeffler: Good morning, Kurt.
Kurt Hallead: Hey, thanks for that. Thanks for that great detail. Really appreciate it and always good to start the year on a positive tone and positive note, especially after what we have been through right over the last few years. So, it’s good to hear. Hey, just I wanted to follow-up with you in the context right on the international front since that’s been a point of focus on your messaging, you kind of gave the dynamics for the second half of the year, but when you talk about short cycle opportunity sets and short cycle projects kind of what regions and areas would that be geared to?
Jeff Miller: Yes, Kurt. I mean, I think that you look around the world and where are there either intervention opportunities or onshore type opportunities and offshore tiebacks, which that starts to lead us to, I would think, through the Middle East, that could certainly have application in Asia, the North Sea as well as another sort of important market that demonstrates those characteristics. So, I think it’s going to be fairly widespread in terms of where I think it’s the type of work and again, the short cycle type barrels of what require less capital upfront, they yield production more quickly, they demonstrate better returns for operators. And so – and I think that that’s where we will see more activity.
Kurt Hallead: Okay, that’s helpful. Appreciate that. And then I want to follow-up on your experience using highline power to run frac in the Permian. We have outlined some benefits of that highline power relative to turbine-driven e-frac. So, how do you see this evolving, right, Jeff? And what are some of the near-term opportunities for highline driven e-frac to accelerate and then what do you see as some of the roadblocks potentially to the adoption?
Jeff Miller: Well, the highline certainly, our grid-powered frac certainly is the lowest emission solution. Look, we learned a lot through the first project and so early days and still learning, but we have always said about electric that the capital upfront around power was going to be the sticky wicket and one that we were not willing to dive off and invest in, because from one day to the next, it’s not clear what’s most efficient. We actually knew all along that ultimately there would be a better both market for availability for power and also ultimately grid power. So, I think that there is a lot of collaboration that’s required. There is a fair amount of technology involved in solving for how to get power of where it needs to be. But I can – as I said in my remarks, it’s a very good solution to both a capital efficiency problem and an emissions problem. And I will look forward to seeing it catch on, so I don’t think it will be immediate, because it takes quite a bit of work upfront to get that all put in place and very much a commitment by the operator to stay the course.
Kurt Hallead: Got it. That’s great. I appreciate that color. I will leave it there. Thanks for the info.
Jeff Miller: Thank you.
Operator: Our next question comes from George O’Leary with Tudor Pickering Holt. Your line is now open.
George O’Leary: Good morning, Jeff. Good morning, Lance.
Jeff Miller: Good morning, George.
George O’Leary: Yes. Just to get insight into the North American completion services space and just curious clearly thus far, the increase in profitability has mostly been driven by top down actions on your part and then utilization increases. I wonder if you could speak to the supply demand dynamics, which you see in the market today and if there is any alignments made to greatly increases in midpoint this year or any frac spread count level that you guys are looking at that would you think the market may actually start to tighten up a bit and pricing can increase?
Jeff Miller: Yes, thanks, George. Look, I think attrition has taken its toll. We certainly saw a lot of it visibly in 2020. And I think our view is or my view is that the supply and demand gap continues to tighten. I also think the market structure is improving. And so – and as we look forward from here just normal attrition or normal replacement probably runs 10% to 12%. So we have got that at a minimum in front of us. I also think that capital constraints are – the current market for capital and capital investment makes us a lot tougher for companies. And so harvesting and cannibalization of equipment that we saw in 2020, we also saw entire transactions predicated to a degree on harvesting equipment as part of that cycle, but all of those things are taking equipment out of the market. And so, could we see some tightening towards the end of 2021? I think so, particularly with kind of how our outlook on activity for the balance of the year, but I think this is – it will continue to tighten is our outlook.
George O’Leary: Okay, great. Very helpful color, Jeff. And then just digging through the game plan regarding the specialty chemicals business and you highlighted the plant [ph] inside clearly is a key part of the strategy, but just thinking bigger picture and longer term, what all do you guys need to execute on to dethrone one of the larger two players in that space, what’s left to do from here for you guys strategically to really grow that business?
Jeff Miller: Well, look, our view of that is we stay the course and we have got the infrastructure in place in the U.S., we have got what we are progressing to completion, the plant in the Middle East. But we are certainly encouraged about what we have done and our outlook, I am not going to try to predict market shares and those sorts of things. Look I like what we are doing and I am confident that what we are doing continues to improve and grow that business over time take a very long view of the chemicals business, has long sort of cycle times around tenders and awards and those sorts of things. So, but certainly all of the plumbing is getting in place now. And I am very encouraged about the outlook for that business particularly as it applies to mature fields and the kind of sustainable throughout the cycle type activity that it brings. George?
George O’Leary: Great. Thanks, guys. You have both my questions. Thank you very much.
Jeff Miller: Alright. Thank you.
Operator: Thank you. That concludes our question-and-answer session for today. I would like to turn the conference back over to Jeff Miller for closing remarks.
Jeff Miller: Thank you, Liz. Before we end the call, I would like to make a few closing comments. Halliburton’s five strategic priorities are designed to deliver industry leading returns and to maximize free cash flow. Our strong international business is well-positioned with the right geographies, technologies and people to deliver profitable growth, while our North American business is recovering and demonstrating margin improvement. Halliburton’s market outlook, strategic priorities and execution culture make me optimistic about our future. I look forward to speaking with you again next quarter. Liz, please close out the call.
Operator: Thank you. Ladies and gentlemen, this concludes today’s conference. Thank you for joining and have a wonderful day.